Operator: Good day. My name is Shamali and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies' Fourth Quarter and Full Year 2023 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. Following the opening remarks, we will conduct a question-and-answer session. As a reminder, today's conference call is being recorded and simultaneously webcasted. I would now like to turn the call over to Andrew Fung, Director of Invest Relations. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's fourth quarter and full year 2023 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO, and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our fourth quarter and full year 2023 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent dates. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A webcast replay of this call will be available on our company website under the investor relations link. And with that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. 2023 was a landmark year for Aeva. We reached a number of critical milestones that we believe puts us in a strong position to continue to lead in a growing adoption of FMCW LiDAR in automotive and beyond. I would like to highlight our key accomplishments. First, as we announced at CES, Daimler Truck selected Aeva to be the exclusive supplier of long-range and ultra-long-range LiDARs for their series production vehicle program. As one of the world's largest commercial OEMs and a leader in deploying new technologies, Daimler Truck is very committed and well positioned to commercialize highway autonomy at scale. Our production agreement with Daimler Truck as a Tier 1 supplier for a series production is a massive validation of the performance, maturity, and manufacturability of our unique 4D LiDAR. Second, we also secured production agreements elsewhere, such as with May Mobility, where Aeva 40 LiDAR will be used to broaden the operational design domain of May vehicles. In industrial, we signed our first production agreement with Nikon, where we will leverage our LiDAR-on-chip technology's ability to deliver micron-level precision to power Nikon's high-precision industrial inspection products. Third, we announced and demonstrated Atlas, which is the world's first automotive grade 4D LiDAR designed for auto mass production. Atlas utilizes our latest silicon innovations, including CoreVision, our fourth generation LiDAR on-chip module, which integrates all optical components onto an even smaller silicon photonics platform, as well as X1, Aeva’s new powerhouse system-on-chip processor for signal processing and perception software. And fourth, we exited 2023 in a strong financial position. With $346 million in cash and facility and no debt, Aeva has significant capital to support both our existing customers beyond their SOPs and execute on additional program wins in our pipeline. Let's now discuss in more detail our recent business developments. The Daimler Truck series production program is a breakthrough win for Aeva and a significant positive development for the industry, not only for the size of the opportunity, but also the validation of our technology and maturity from one of the largest and most repeatable commercial vehicle OEMs in the world. This is a clear indication of the industry's growing appreciation and shift towards FMCW technology to enable even more advanced ADAS and highway autonomy functionality in vehicles. In this multi-year production program, Aeva will act as a direct Tier 1 to Daimler Truck, supplying both long-range and ultra long-range 4D LiDAR. This will enable highway speed autonomy for Daimler Truck’s first production launch, starting with Freightliner's Class 8 platform, which has volumes of around 100,000 vehicles annually. We will also work closely with Torc, Daimler Truck’s independent subsidiary developing the AV stack to integrate Aeva’s sensors and [perception soft] (ph). The multiple number of sensors per vehicle and the level of integration results in significant content per vehicle that is multiples higher than a typical passenger vehicle program. Together with a modest take rate that ramps over a multi-year period, we estimate a forward-looking order book of $1 billion over the estimated lifetime of the program. We are working towards our start of production in 2026 to support Daimler Truck’s production ramp by 2027. This win comes after multiple years of deep collaboration with Daimler Truck. As we enter the next phase, we are off to a strong start. In Q1, we have already shipped many Aeva sensors for Daimler Truck and Torc's fleet of vehicles and expect to increase product shipments over the course of this year. I would like to now elaborate more on why Daimler Truck selected Aeva. Safety deploying highway autonomy at significant scale is a top strategic focus for Daimler Truck and the OEM sees Aeva 4D LiDAR as a key enabler because of our technology opening up some of the most challenging highway driving use cases and the manufacturability of our technology. This determination comes after in-depth evaluation of Aeva 4D LiDAR's ability to meet Daimler Truck’s stringent performance requirements. Over the course of multi-year collaboration, Aeva's combination of industry-leading range, instant velocity for every point, and immunity to interference was instrumental in achieving a number of the OEM's challenging use cases that are viewed as critical for commercialization. For example, a highway merge scenario where the truck needs to know what is approaching from behind from a far distance, given the amount of time it takes for the vehicle to accelerate to highway speeds. Aeva 4D LiDAR consistently offered further and faster detection and classification of critical objects than what was possible before with the existing sensor set. With plans to ramp to significant volumes, Daimler Truck views Aeva’s LiDAR on-chip technology with a fibreless silicon-based architecture and our manufacturing capability as key differentiators that will enable us to support the production ramp. As part of the RFP process, Daimler Truck also conducted extensive audits of our manufacturing line, internal processes, and supply chain partners to ensure they meet the strict requirements of Daimler Truck standards. We are incredibly proud to have received the highest rating category for manufacturing readiness and the confidence of Daimler Truck in Aeva to act as a Tier 1 supplier for the series production program. This is no small feat, especially for a company at our stage, and points to the maturity and the quality of our organization. I want to end the section on Daimler Truck with why we are thrilled to be partnered and going to market together. Aeva's strategy continues to be partnering with leaders in their respective markets who have a shared commitment as well as the ability to scale deployments of LiDAR to mass volumes, and this strategy is starting to pay off. Daimler Truck is incredibly well positioned as a global leader in commercial vehicles with volumes north of 500,000 units annually. As mentioned earlier, our production program win starts with a Class 8 Freightliner platform which is the top selling platform in its segments at around 100,000 vehicles annually, and representing 40% of the Class 8 market share. And within this, Daimler Truck has 60% share of the large US fleet buyers of Class 8 trucks, the likely first adopters of autonomous trucks. Importantly, Daimler Truck is also a leader in commercializing new technology, being first to deploy level 2 capabilities in series production in North America in 2019. They have a deep understanding of the needs of their customers and see highway autonomy as the next key strategic objective and logical step for the industry because for fleet operators it is all about total cost of ownership and enabling hub-to-hub autonomous operations that can meaningfully improve efficiency while reducing costs. As part of the path to commercialization, Daimler Truck’s subsidiary Torc is already deploying pilot autonomous programs with leading logistics operators such as Schneider and C.R. England to capture real-world insights and ensure critical requirements are met for series production. As Daimler Truck’s CEO reaffirmed on his earnings call last week, highway autonomy is the top strategic focus for the OEM. They continue to make strong progress from hardware, including sensors, to the software stack, keeping them on track for series production commercialization by 2027. From there, Daimler Truck has publicly shared plans to reach significant volume scale with annual autonomy revenue contribution of $3 billion for Daimler Truck by 2030. And we look forward to supporting their ramp. Let's now turn to Aeva's growing commercial momentum. 2023 marked an inflection point as we began converting our engagements to multiple production awards in automotive and industrial. The adoption of FMCW technology is gaining traction and we expect to continue to drive this in 2024. Following our Daimler Truck production win, we have seen an uptick in our momentum in automotive. Aligned with our strategy, our focus is on winning large production programs with customers well positioned to commercialize at scale. We are currently engaged in multiple passenger vehicle RFQs, including with a new global top 10 passenger vehicle OEM, and expect award decisions in the next six to nine months. The growing adoption of FMCW is becoming clear, starting with commercial vehicles, and we expect the rest of automotive to move in the same direction. With Daimler Truck’s selection to use Aeva 4D LiDAR, three of the top four OEMs representing the vast majority of the North America Class 8 market are now implementing FMCW for highway autonomy. This is a strong validation of the fundamental advantages of FMCW where long-range, instant velocity, and immunity to interference can enable safe, autonomous operation at highway speeds. At Aeva, we continue to progress on multiple opportunities for additional commercial vehicle programs. In passenger vehicles, a growing number of industry participants are publicly pursuing FMCW for next generation solutions. Based on our engagements with OEMs, a number of opportunities we are seeing the most traction are with OEMs experienced with LiDAR that see FMCW as a key enabler to futureproof their plans to achieve highway autonomy at highway speeds. In the start of the year, this now includes multiple passenger vehicle OEM RFQs and a new top 10 passenger vehicle OEM. We expect these programs to start being awarded in the next six to nine months. While we continue to work on additional production program wins, we are also on track to begin commercialization by the end of this year for our first industrial launch with Nikon. We will follow this with automotive SOPs starting in 2025 and reaching scale by 2027. Moving now to our latest product development. At CES earlier this year, we introduced and demonstrated Atlas, which is the world's first automotive grade 4D LiDAR designed for automotive production. We believe Atlas will unlock the industry's ability to adopt FMCW for highway speed automation at scale. Atlas is powered by our latest proprietary silicon innovations, including CoreVision, our fourth-generation LiDAR on-chip module, which continues to integrate all optical components onto an even smaller module. Compared to conventional high-performance Time-of-Flight LiDAR, Aeva's solution is completely fiberless and leverages a silicon photonics architecture to enable automated assembly for mass manufacturability at affordable costs. In addition, Atlas utilizes Aeva X1, our new powerful FMCW LiDAR system on chip that seamlessly integrates data acquisition, [growth cloud processing] (ph), scanning, and application software. To our knowledge, this is a first in the industry and comes after multiple years of investments in house silicon development and validation. As a result of these enhancements, Atlas is over 70% smaller and consumes a quarter of the power of the previous generation, which enables passive cooling and new OEM integration options, such as behind the windshield. Daimler Truck is the first major OEM to go to production with Atlas. I would now like to discuss our key goals for 2024. At a high level, our focus remains on converting our growing commercial momentum to production awards while preparing for our first SOP. First, we target winning two additional production programs in 2024. We are engaged in a number of automotive RFQs production, including with a new global top 10 passenger vehicle OEM. In industrial, we also see opportunity to convert current engagements to wins with leading companies looking to leverage our unique FMCW for the next generation solutions. Second, we plan to complete Atlas qualification ahead of deployments starting in 2025. This includes final iteration on our X1 SoC and completing the evaluation of our Atlas products. Third, we plan to finalize our supply chain and complete the design of our automated and automotive qualified production line as we approach our first SOPs. And fourth, as we have demonstrated over the past years, we plan to accomplish these objectives while maintaining a strong financial position and discipline with spend. As Saurabh will discuss next, we target maintaining OpEx similar to the levels in 2023. With our strong balance sheet and strategic approach in investing, we are well positioned to execute on our plan and deliver on the growing momentum around FMCW. With that, let me turn the call over to Saurabh.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. Let's move to Slide 15 to review Aeva's full year 2023 financial results. The revenue for the full year 2023 was $4.3 million, driven by growing Aeries II shipments. Non-GAAP operating loss for the full year 2023 was $124.1 million. We continue to be disciplined and effective in managing operating expenses, which came in slightly lower year-over-year and better than our 2023 annual outlook. In 2023, gross cash use, which we define as operating cash flow less capital expenditures totaled $124.9 million. Aeva ended 2023 with $346 million in cash and facility, comprising $221 million of cash, cash equivalent and marketable securities, and $125 million of facility. This positions us well to support both our existing production programs beyond their SOPs and secure additional production win. We are excited to build on our commercial momentum in 2024 with expectations to increase product sales and add new programs. In line with Aeva's strategy, we will continue to prioritize large-scale production opportunities with leading players such as the multiple automotive RFQs we are currently engaged in. We also expect to remain disciplined with our spend, targeting non-GAAP operating expenses which excludes stock-based compensation and other potential non-recurring charges to be similar to 2023. As a result our significant level of capital provides Aeva a multi-year runway and we expect to maintain a solid balance sheet as we continue executing on our plan. With that, let me turn the call back to Soroush for closing remarks.
Soroush Salehian: Thank you, Surabh. I am incredibly proud of what Aeva accomplished in 2023. We successfully transitioned from the development phase to multiple production awards for automotive and industrial, including our first major automotive production program with one of the world's largest commercial vehicle OEMs. We're off to a strong start in 2024 with even more commercial momentum driven by the unique performance and maturity of Aeva 4D LiDAR, combined with our financial strength to win and support additional customers. As OEMs start to deploy even more advanced functionality, such as highway autonomy, we expect FMCW to play a central role to enabling the OEMs to achieve highway autonomy at highway speeds. We aim to continue to lead the growing adoption of FMCW in automotive and industrial with additional wins in the coming months and as we execute towards our first SOP. I would like to finish by thanking really the tremendous team at Aeva. I am excited for what we have in store for 2024 and anticipate another pivotal year for Aeva and hopefully the industry. With that, we'll now open the line up for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much, guys. As you look at the kind of tone of these customer conversations, which seems like they've taken a fundamental shift with the Daimler agreement, and you look at the kind of practicality of trying to scale up as a sole source or a real clear leader in FMCW, can you talk a little bit about the strategy around licensing and enabling multiple suppliers to really allow these customers to adopt the technology and build their platforms on FMCW on a go-forward basis?
Soroush Salehian: Sure, Colin, happy to answer that. Yeah, so first of all, we're really excited with the momentum that we're seeing in automotive, especially with an uptick increasing since our win with Daimler Truck as we start the year strong. As I mentioned on the call, a majority of the commercial vehicle OEMs are already moving now to FMCW, implementing that for their highway autonomy. About three of the top four have publicly talked about that better present over 85% already of the market share. So that's, we've been talking about this for some time, and now this is starting to actually show up in the market, and also our strategy of really aligning with large customers focused on winning additional programs with leaders in the markets, especially folks that have the ability to scale to significant volumes, we think is starting to pay off. We're also expecting this kind of similar trend to happen in passenger vehicle side, right? So as you mentioned, I put on the call that we are currently engaged in multiple passenger RFQs, including with this new global top 10 passenger OEM. And we're seeing OEMs increasingly view FMCW as really a key enabler to future-proof their plans, especially folks that have had some experience with LiDAR initially bringing that forward, now really going at how they tackle the next phase at mass scale to achieve that highway autonomy at highway speeds. So in the current market, we're seeing an increase in that interest. We are fully intended to capitalize on that, and we have the resources, we have the team, we have the financial backing and the strength of the financial balance sheet to support that. And as I mentioned, we're expecting a number of these award decisions to already happen soon, right? So I think this Daimler Truck win has really allowed us to come onto the field with being a Tier 1 supplier. And these decisions happening in the next six to nine months is kind of what we start to expect to see. So, but generally the focus for us this year, as I mentioned on the call, we've already announced and demonstrated Atlas at CES. This is our final architecture, final production intent. It has our final chip products with the CoreVision, which is the fourth-gen LiDAR chip module. It has the world's first FMCW LiDAR SoC, right? So that is what's allowing us to achieve to kind of mass scale and having the right power size, all that [envelope] (ph). So we're making progress across fronts and obviously as we progress throughout the year and working towards the manufacturing line and getting all that ready, we'll also share more as we can.
Colin Rusch: Thanks so much. And then just a follow-up, can you talk about how you're de-risking the cost structure and manufacturing as you move through this process this year with, smaller volumes but just making sure that as you get into higher volume production there is in a period of time where you end up with a certain amount of scrap and some heavy lifting on the cost side?
Soroush Salehian: Yeah, sure. Happy to. So, first of all, we started with Aeries II a couple years ago and we have shipped significant already volumes of those products. With Aeries II, we already used the BOM since the first time we released it by over 30% already in terms of the BOM cost. With Atlas, that's when we have taken that last remaining step in terms of significant cost reduction that really set us up on the right architecture to get us to where we need to go from a target sample for our SOPs. And as I mentioned at CES, we already demonstrated Atlas, which is the final architecture with our final chip solutions. And this is the result of multiple years of efforts, significant amounts of investments, and multiple iterations of the silicon chip, both on the optical side, like CoreVision, as well as now the SoC. So these are things that you cannot shortcut. They can now close now this seven plus years now to get here. So from here on, the Atlas system design is fixed. We have now this -- the next 12 to 18 months or so where we're focused on the qualification of the Atlas product, getting that ready for the first SOPs. As I mentioned on the call, we start in automotive next year with SOP and then from there with Daimler Truck in ‘26 and reaching scale by ‘27. So really the work here that we have in front of us is beyond the qualification I mentioned. It's also bringing up the manufacturing line, getting that design ready for our automated assembly line for automotive qualified mass production. And we have the support of our strong team that's been doing this already for the past couple of years. So we feel pretty good about this. We have a clear plan that we are executing on the timelines that I just mentioned.
Operator: Thank you. Our next question comes from the line of Richard Shannon with Craig-Hallum. Please proceed with your question.
Richard Shannon: Thanks, guys, for taking my question here. Maybe I'll ask a much simpler one, just kind of a tactical one here looking at 2024, you gave us a sense of what to think about for OpEx here, but I'd love to get your sense of thinking about sales here. It seems like we're not going to see leaps and bounds here with Nikon probably starting late this year. It doesn't sound like much of anything from May Mobility. We've consensus estimates look like around $15 million for the year compared to $4 million last year. Why don’t you just give us a sense of what you're thinking of just in broad brush strokes here about what 2024 sales look like.
Saurabh Sinha: Yeah, Richard, this is Saurabh. Yeah, so on the revenue front, we are seeing strong momentum in both industrial and automotive. We are seeing increasing number of shipments in ‘24, and we expect full year revenue in ‘24 to grow by at least 100%. On top of that, we are seeing increasing number of opportunities to expand from there. That being said, our focus continues to be on executing on large production opportunities in automotive and other applications. As we discussed earlier on the call, we are in multiple RFQs, including the top 10 passenger car OEM, and we will continue to work towards that.
Richard Shannon: Okay. To get that detailed, my follow-on question here is just hitting on Nikon and the general industrial opportunity here. You said you're going to be ramping up or starting to ramp late this year. I just want to get a general sense of how we see that ramp with Nikon over time here. I assume this is going to take many years to get to a perceived, kind of peak level here. I have no idea what you're thinking of, but maybe we can characterize kind of that ramp and eventual peak there would be very helpful? Thank you.
Soroush Salehian: Sure, yeah. Happy to do this, Rich. So, Nikon, as you have mentioned in the past, is a multi-year program on the production side through 2028. And the agreement includes minimum volume commitments and obviously a key differentiation with the industrial side of convert to automotive is that it has strong ASPs that are significantly higher. [indiscernible] higher than a typical auto program. On the kind of the volume side, Nikon has a significant share, I think the double digits of the metrology market. So that's something that they have publicly talked about. There is in the metrology market, volumes obviously is not in the same scale as mass production automotive, but it's in the multiple thousands of units. So that combined with ASPs, this is a considerable opportunity for us that we see scaling up. And just to be clear, obviously we expect revenue ramp up through ‘25 and expand from there. I think already by I would say ‘25 or a year or two, 18 months after, we expect to reach a peak period. But to add to that, this is just the first program that we're doing with Nikon, right, which is focused on metrology for auto applications, auto manufacturing, aerospace, others. But also we see a number of opportunities in industrial, that we are working on that really has the potential to grow this industrial business significantly. So, beyond just simple assembly for automated assembly, also precision assembly, there are other applications that, as we able to talk more about, we will share, which we see as an opportunity to expand.
Operator: Thank you. Our next question comes from the line of Suji Desilva with ROTH Capital Partners. Please proceed with your question.
Suji Desilva: Hi, Soroush. Hi, Saurabh. Congratulations on the progress here. So the passenger opportunity, including the new global top 10. I'm just curious how far along those guys are, if you could contrast it with maybe Daimler, I think you talked about [indiscernible], working on the software integration through the year. If that's happening already with the guys in the pipeline, if it's already happened, and how much different that effort is when you go from trucking across to passenger?
Soroush Salehian: Yeah, thanks for the question, Suji. So, first of all, obviously, a lot of the work that we have done on the core platform side that led us to the win with Daimler Truck is what we are leveraging for additional opportunities and programs that we are engaged with. And that's also part of the reason why we see a faster progress on programs. We're seeing increased momentum in the space. Now we see a number of passenger programs that are looking to future proof their stack, which means how they get the next level of functionality on the highway with highway autonomy speeds working. And you bet that we are leveraging all the effort that we have done already that led us to winning down the truck to also make progress on those programs. So we have been engaged with this OEM for some time already. We are going through the RFQ process. This is a significant OEM, one of the largest in the world with global scale. And we see this opportunity as something that is considerable, quite significant, at least in the size, but similar to Daimler Truck, if not more, with production timing that is around the same timeframe. So I think, pretty exciting opportunity for us. Obviously, we're going through a number of activities quite intensely that's increasing over time. So as we go through this process and we can share more, we definitely will do so. But we're pretty excited about it. It's not the only passenger programs we're working on. We're engaged on multiple RFQs. And to be clear, the feedback that we're getting from the OEMs is that this is no longer a matter of if there will be a transition to FMCW to enable next generation technologies, but actually it's a matter of when. And this is really exciting for us. And I think with some of the timelines of OEM shifting also towards a timing that actually aligns further and better with our timeline, the ‘26 SOP and further, we see this as quite positive for us. And so folks are really looking to make sure that they have that right next gen technology as they scale to mass volumes for the highway autonomy application. And the important thing is the feedback that we're seeing is there's also not something that's being decided in years from now, it's in the months from now, right? Six to nine months from now, we expect some of these decisions to start to happen. And there's appears to be similar time frames that we see also with Daimler Truck. So it's quite encouraging.
Suji Desilva: Okay. And then my follow-up is about these same RF in the pipeline. You talked about it being similar or larger than maybe Daimler opportunity. Can you put some color around these programs you're targeting if they're mainstream or if they're premium initially for passenger, is it L2+, L3, L4, where are you intercepting them and are they EV, hybrid? Any color there in terms of where you're drawing kind of attention from the OEMs would be helpful.
Soroush Salehian: Yeah, absolutely. I think in this next phase, the focus of the OEMs is for mass scale, which is going to be across platforms. And it's really becoming more and more table stakes to provide kind of autonomy functionality on the highway, almost more or less similar to what a seat belt was. So that's what we're seeing. This is not something that's like a super high, level five that is going to take many years to come and it's a super small portion. It is, instead of talking about levels, it is really highway autonomy. So that's how we see it as a feedback that we're getting. It is completely power-trained agnostic, so both combustion engines and EVs. So as I mentioned, the technology to provide safer highway speed automation is becoming more increasingly viewed as table stakes for many of the premium OEMs. And the scale for the car lines is across many car lines and across different platforms. So it's not something that is perceived as just, let's say, some super high-end.
Operator: Thank you. Our next question comes from the line of Kevin Garrigan with WestPark Capital. Please proceed with your question.
Kevin Garrigan: Yeah, hey guys, thanks for letting me ask a question. So I know you have Nikon launching later this year and you talked about other opportunities in the industrial market, but it seems like automotive is really about to ramp just based on commentary from you and a few other LIDAR companies. Does your focus now switch away from the industrial market and really focus more on auto and putting all resources towards auto? Or will you still focus on trying to win some other industrial awards or I guess, would you need to add resources in order to go after both markets?
Soroush Salehian: Yeah, look, I would say I think one of the key differentiators for Aeva is that we have had a consistent strategy from day one, right? We are building the perception platform of the future that's now coming to materialize in the near term here. Last year, we secured multiple production wins, three to be specific. Each year now we are seeing now a program starting to take place and ramp up. Nikon, as you mentioned, end of this year into ‘25, May in ‘25, Daimler Truck in ‘26, and multiple other programs on automotive that are in a similar timeframe as SOP deciding this year, right? So, the beauty of our platform, why we call it [perception platform] (ph), is that it's all the same core technology, the same core components. The core vision chip module, which have now been finalized with what we have released with Atlas, is the same that goes into automotive for Daimler Truck and our Atlas product, and the same that goes into what we do with Nikon and others in industrial. So, same manufacturing line with different software on our processing chip allows us to achieve different performance points, which truly points to the massive flexibility of our platform. Software defined, software enabled, and the same hardware. So that's something that I think is a big differentiation for Aeva. This means that we do not need to add additional resources to be able to support those other programs. The team that we have already is sufficiently staffed to be able to support industrial launch that we have already with Nikon and others, but also to continue to support on our automotive OEM programs. Of course, we continue to building our team for future growth and next generation platforms, but because of our technology innovation and the fact that we have already done all the heavy lifting of the core platform development, now the application of this technology to multiple industries is much, much easier compared to, I would say, many others in this space. And that's because of the fact that it's based in 4D or FMCW technology. And the second thing I would say is, we obviously are fabulous. We have a CM model with light CapEx and this has also been a strategic move from day one that we really thought about that as we go through in terms of production, we work with partners that are qualified that help us from some of those critical aspects of design rules and [design] (ph) for manufacturing for automotive and making sure also that that is sufficient for industrial application. So, and, on top of all that, I think having going into production with somebody like Daimler Truck, which is the leader, they're one of the largest, if not the largest, OEMs in the commercial vehicle space with such a significant scale, and the fact that they have stringent requirements, even more so than passenger OEM in terms of reliability, lifetime durability, and that they have that expectation of quality that makes them Daimler is something that we see as a perfect kind of lead customer in the automotive space because it kind of covers a superset of the requirements that allow us to get support additional program wins based on the qualification work, based on the certification, and all the work that the team has been doing and will continue to do for the first program. So [long answer saying is] (ph) no, we believe in both of these applications, both are going to continue ramping up and we have sufficient resources to support that for all the reasons that I mentioned.
Kevin Garrigan: Yep, got it, got it. Okay. That makes perfect sense. Thank you for that. And then just a quick follow-up. If you were to win another one or two kind of RFQs? I know you just talked about your partnerships with manufacturing partners, but are your current manufacturing lines that you have with them, are they enough for an additional one or two RFQs, or would you have to ask them to add capacity or add a manufacturing line?
Soroush Salehian: Yeah, absolutely. So that is exactly part of all the manufacturing line planning that we have been doing and we are increasing our efforts now this year. We are including already the capacity that's needed to support not just the existing wins but also a number of additional program wins that we plan to close out in our future. Obviously, we don't go and build a bunch of capacity years in advance, but when we work with our partners, we ensure that one, the sufficient space is available, the line is replicable, so that both of those can happen in time ahead of these SOPs. And obviously, as you know, timing usually is a couple years or so, you have advanced notice, which gives us enough time to be able to actually build that additional capacity. But again, we are already building that capacity for additional customer support because we see that huge pull from the market for transitioning to FMCW. As I said, this is not -- the feedback at least that we're seeing from the customers is no longer a matter of if, it's a matter of when, and with some of the timings kind of shifting on the passenger side is aligning to where we are headed and our existing SOPs, which we see as a key positive sign for the industry.
Operator: Thank you. At this time, we have reached the end of the question-and-answer session, and this also concludes today's conference, and you may disconnect your line at this time. Thank you for your participation.